Executives: William McDowell -  David M. Cordani - Chief Executive Officer, President, Director and Member of Executive Committee Thomas A. McCarthy - Chief Financial Officer and Executive Vice President
Analysts: Justin Lake - JP Morgan Chase & Co, Research Division Matthew Borsch - Goldman Sachs Group Inc., Research Division Joshua R. Raskin - Barclays Capital, Research Division Albert J. Rice - UBS Investment Bank, Research Division Scott J. Fidel - Deutsche Bank AG, Research Division Kevin M. Fischbeck - BofA Merrill Lynch, Research Division Christine Arnold - Cowen and Company, LLC, Research Division Andrew Schenker - Morgan Stanley, Research Division Ralph Giacobbe - Crédit Suisse AG, Research Division Ana Gupte - Leerink Swann LLC, Research Division Peter Heinz Costa - Wells Fargo Securities, LLC, Research Division Christian Rigg - Susquehanna Financial Group, LLLP, Research Division Brian M. Wright - Sterne Agee & Leach Inc., Research Division David H. Windley - Jefferies LLC, Research Division Michael J. Baker - Raymond James & Associates, Inc., Research Division
Operator: Ladies and gentlemen, thank you for standing by for Cigna's Fourth Quarter and Full Year 2014 Results Review. [Operator Instructions] As a reminder, ladies and gentlemen, this conference, including the Q&A session, is being recorded. We'll begin by turning the conference over to Mr. Will McDowell. Please go ahead, Mr. McDowell.
William McDowell: Good morning, everyone, and thank you for joining today's call. I am Will McDowell, Vice President of Investor Relations. Joining me this morning are David Cordani, our President and Chief Executive Officer; and Tom McCarthy, Cigna's Chief Financial Officer. In our remarks today, David and Tom will cover a number of topics, including Cigna's full year 2014 financial results as well as our financial outlook for 2015. As noted in our earnings release, when describing our financial results, Cigna uses certain financial measures which are not determined in accordance with accounting principles generally accepted in the United States, otherwise known as GAAP. Specifically, we use the term labeled "adjusted income from operations" and "earnings per share" on this same basis as the principal measures of performance for Cigna and our business segments. A reconciliation of these measures to the most directly comparable GAAP measure is contained in today's earnings release, which is posted in the Investor Relations section of cigna.com. In our remarks today, we will be making some forward-looking statements, including statements regarding our outlook for 2015 and future performance. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our current expectations. A description of these risks and uncertainties is contained in the cautionary note to today's earnings release and in our most recent reports filed with the SEC. Before turning the call over to David, I will cover a few items pertaining to our financial results and disclosures. First, please note that when we discuss the number of covered lives for our global medical customers, we will be doing so on a basis that excludes those individuals that were previously covered under Limited Benefits plans. As a reminder, we exited the Limited Benefits business as of December 31, 2013, as required by the Affordable Care Act regulation. Second, please note that our definition of adjusted income from operations will change for 2015 reporting in that we will now exclude acquisition-related amortization expense from this operating measure. When we discuss our earnings outlook for 2015 today, it will be on a basis of adjusted income from operations that excludes acquisition-related amortization expense. This is a change compared to the basis on which 2014 results are reported and how we have previously provided our 2014 outlook. In 2015, the impact of excluding acquisition-related amortization expense is approximately $100 million after tax or $0.40 per share. Third, beginning in 2015, we have simplified our guidance and disclosures for our medical care ratios or MCRs by reporting them on a basis of total Commercial and total Government. The total Commercial ratio encompasses all of our commercial risk products, including medical, pharmacy, dental, stop loss and behavioral products, provided through guaranteed cost or experience-rated funding arrangements in both the United States and internationally. The total Government ratio includes our Medicare Advantage, Medicare Part D and Medicaid businesses. To ease the transition, we have provided historical medical care ratios on these bases within our quarterly financial supplement that was posted in the Investor Relations section of cigna.com this morning. Lastly, consistent with past practices, when we make any prospective comments on earnings or EPS outlook, we will do so on a basis that excludes the impact of any future capital deployment or prior year development of medical costs. Our outlook also excludes the impact from our recently announced acquisition of QualCare, which we do not expect will have a material impact to our financial results in 2015. And with that, I will turn the call over to David.
David M. Cordani: Thanks, Will. Good morning, everyone, and thank you for joining our call today. To begin, I'll review highlights of our full year 2014 financial results and our 2015 outlook. I will then discuss how we will continue to create value for our customers, clients and shareholders in the future. I will also illustrate more specifically how we are creating value in our Seniors business and leveraging our experience and success of that business to drive long-term growth. Then Tom will address our fourth quarter and full year 2014 financial performance in more detail as well as provide the specifics for our outlook for 2015 before we take your questions. And following the Q&A session, I'll wrap up the call with a few closing remarks. We'll start with some highlights from the year. Cigna's strong 2014 performance represents the fifth consecutive year of competitively attractive financial results. This outstanding track record of results is driven by the disciplined execution of our growth strategy, all while we continue to invest in new capabilities, expand our offerings and our geographic footprint. Over the past several years, in the face of a particularly challenging and dynamic environment, we have been focused and disciplined with targeted yet meaningful investments to drive innovation, including new clinical programs, aligned incentives for customers, expanded technologies and programs for health care professionals. We have done all this while delivering competitively differentiated results year in and year out. The full year 2014 consolidated revenues increased 8% to $35 billion, with each business segment delivering strong growth over 2013. We reported adjusted income from operations for the full year of $2 billion or $7.43 per share, which represents a per share increase of 9% over 2013. Our revenue and earnings performance reflect growth in all of our businesses over the course of the year, a year in which we also grew to more than 85 million customer relationships worldwide and where we continue to generate strong margins and significant free cash flow for the benefit of shareholders. These results position us to once again deliver competitively attractive revenue and earnings growth in 2015. For 2015, our outlook of 8% to 10% revenue growth and 5% to 10% EPS growth, excluding reserve development recognized in 2014 as well as future capital deployment, reflects the focus and clarity of our strategy and continued strong performance of our team around the world. Tom will walk you through more specifics regarding our outlook later on the call. Now I'd like to talk about how our guiding framework, global strategy and multiple avenues for growth have enabled our long track record of success and will drive ongoing future value creation. Across our business, we operate in an ever-changing market landscape with diverse needs across customers, employers, health care professionals and governments. Moving [ph] in this market, we are meeting and exceeding the expectations of our customers and clients around the world by delivering affordable and personalized solutions. As we look to the future, we have built a growth framework to create ongoing value, leverage our differentiated capabilities for the benefit of our customers. There are 3 components to this framework. First is leveraging our well-positioned existing portfolio of businesses to continue to generate attractive value for our customers and clients. We expect to double the size of our company over the next 7 to 8 years. This will result in an average annual revenue growth rate of 8% to 10%, largely driven by our existing portfolio and focused execution. This continues a track record that we have demonstrated over the last 5 years, and our 2015 outlook of 8% to 10% revenue growth is consistent with this goal. The second component is targeted and effective capital deployment to create ongoing shareholder value. I would note that, over the past 5 years, we have effectively deployed capital through a balance of investments in our business portfolio, strategic M&A and share repurchase. A good recent example of this is our agreement to purchase QualCare Alliance Networks. This acquisition is directly aligned with our Go Deep and our physician partnership strategies. Our businesses are generating high margins and are capital efficient, allowing us to both fund attractive organic growth and generate significant free cash flow. This free cash flow provides us with financial flexibility and the opportunity to deploy capital to create additional value for our shareholders. And given the health of our balance sheet and underlying capitalization level of our subsidiaries, we expect to have $1.8 billion of capital available for deployment in 2015. The third component of our framework where we seek to drive additional value for our shareholders is through new and emerging opportunities. These opportunities include new distribution marketplaces such as public and private exchanges, geographic expansion such as new Medicare Advantage markets and international opportunities, and new buying [ph] segments and service expansion such as medical service organization offerings for the benefit of integrated health care professionals. We are well positioned to pursue each of these potentially attractive future growth opportunities that are aligned with our strategy. As such, we have dedicated resources to fuel future expansion in these areas. To illustrate how we are leveraging this framework to create value, I'll highlight how this framework applies to our Seniors business. This market segment includes a population with a variety of complex needs, requiring customer engagement and incentive-based clinical resources and programs to drive ongoing success. Our Seniors business pioneered successful physician engagement models, including aligned incentives and collaborative relationships to drive high-quality and a more affordable health care experience for both customers as well as physicians. As we continue to leverage our core physician engagement capabilities across all of our health services businesses, we are focused on key investments that improve affordability, enhance personalized services and drive better clinical outcomes. For example, the strategic investments we're making to enhance our physician insight and data tools will enable our clinical data to be accessible in a real-time fashion for more of our physician partners as well as our service teams. Enabled by our physician engagement model, seniors continue to find our Cigna HealthSpring benefit offerings increasingly compelling. And we expect to have 6% to 8% Medicare Advantage customer growth in 2015. As for positioning, we continue to be amongst the top 3 players in market share for all of our established markets, and we are posting attractive growth in our newer markets. In 2014, we expanded our Seniors business into Georgia and the Carolinas, where we successfully leveraged existing Cigna commercial networks to develop and implement engaged physician relationships for seniors. Importantly, the quality of care delivered through our engaged physician groups is reflected in our stars ratings, where we increased our membership in 4-star or higher plans from approximately 40% to nearly 60% in 2016. Looking to 2017, we again expect to deliver an increase in this result. These improvements in star ratings have allowed us to enhance our benefit offerings and position our Seniors business to be an earnings accelerant in 2016 and beyond. Relative to our expanding opportunities, we currently operate Medicaid into eligible plans in Texas and in the Illinois markets. Here, we are leveraging our care coordination capabilities to serve the dual-eligible population within our Medicaid platform. Focusing our growth efforts on improving care for the underserved, including the dual-eligible and aged, blind and disabled populations, complements our proven experience with complex care coordinations, differentiated clinical outcomes and affordability focus. While our Illinois plan is relatively new, having just begun in 2014, our Texas plan has been in operation since 2011 and has a track record of delivering affordable care and better health outcomes. In a testament of our commitment to servicing these customers, our Texas plan recently was acknowledged by the Medicaid Health Plans of America for our cutting-edge, intensive behavioral health programs. We are well-positioned and have the capital flexibility to pursue these accelerating geographic and market segment expansion opportunities, either organically or through M&A, as Seniors remains a strategic growth priority for us. As a global company, our efforts to leverage these capabilities have also expanded across key markets beyond the United States. In Korea, for example, where the aged population is seeking new solutions to meet their emerging needs, we've developed an innovative and new health membership program targeting seniors known as Heyday. This organically built affinity program delivers value-added services directly to seniors in Korea. And while only a year into this expansion, we now serve more than 300,000 Korean seniors. So overall, we have a clear strategy and the capabilities to deliver value and improve the health and well-being of senior customers today and into the future. Whether in our Seniors business as we discussed today or other growth businesses we have addressed in previous calls, we will continue to deliver attractive growth, produce and deploy capital effectively, and invest and position ourselves to win in new and emerging markets and segments. Now to summarize my comments before Tom offers more detail on our 2014 results and expectations for 2015. Cigna's strong 2014 financial performance extends a multiyear track record of delivering competitively attractive revenue, earnings and free cash flow. Continued execution of our growth strategy is creating value for our customers and clients, complemented by our differentiated capabilities and innovative physician and customer engagement solutions. As a rapidly changing industry and economic environment continues to unfold and new challenges arise, we are positioned to capitalize on new growth opportunities while we continue to leverage our core businesses for growth. And by embracing change, we continue to position our company for successful investing in the future, preparing for significant new opportunities such as those we shared this morning for our Seniors segment, including: in existing programs and markets, new market expansion, new offerings for health care professionals through our medical service organization solutions, new segments such as dual eligibles and new affinity programs such as HeyDay in Korea. We expect to meet our growth objectives of 8% to 10% on average, doubling the size of our company again over the next 7 to 8 years. And based on our focused strategy, strong market positioning and ability to leverage capital, as well as further opportunities we have for growth, we expect to continue to deliver competitively attractive and sustained long-term EPS growth of 10% to 13% on average, all while continuing to invest back in our company. And with that, I'll turn the call over to Tom.
Thomas A. McCarthy: Thanks, David. Good morning, everyone. In my remarks today, I will review Cigna's 2014 results and provide our outlook for 2015. We had another strong year in 2014, with revenue growth of 8% and industry-leading earnings per share growth of 9% over 2013 results. 2014 represents our fifth consecutive year of consistently strong revenue, earnings and EPS growth -- an attractive result both on an absolute and competitive basis. In addition, we continued to generate strong free cash flow in 2014, which resulted in approximately $1.6 billion being returned to shareholders through share repurchase. The strength of our 2014 performance provides us with a solid foundation for growth in 2015. Now moving to operating results. Our full year consolidated revenues grew 8% to $35 billion, driven by growth in each of our business segments and in our targeted markets. Earnings grew 3% to $2 billion, and earnings per share grew 9% to $7.43 in 2014. Our ability to grow revenue, earnings and EPS in a challenging operating environment reflects the strength of our underlying businesses and focused execution. Regarding the segments, I will first comment on our Global Health Care segment. Overall, Global Health Care delivered another good year. 2014 premiums and fees grew 7% to $24.5 billion, reflecting growth in all of our Global Health Care businesses, including ongoing growth in our self-funded programs and specialty products. We ended 2014 with 14.5 million global medical customers, growing by approximately 380,000 customers or 3% for the year. Full year earnings were $1.65 billion, reflecting business growth, specialty contributions, operating expense efficiency and effective medical cost management. Turning to medical costs. We continue to deliver medical costs that reflect better health outcomes and strong clinical excellence for our customers and clients as a result of our deep collaborative relationships with physicians and our focus on personalization of care. For our total U.S. commercial book of business, full year medical cost trend was slightly less than the low end of our previous range of 4.5% to 5.5% for 2014. Our commercial medical trend result continues our multiyear track record of industry-leading performance. And given that over 85% of our U.S. Commercial customers are in transfer and ASO funding arrangements, our clients directly benefit from these favorable medical costs. Regarding medical care ratios. In our U.S. Commercial guaranteed cost business, our full year 2014 medical care ratio or MCR was 81.8% on a reported basis or 82.7% excluding prior year reserve development. Consistent with our expectations, our fourth quarter 2014 guaranteed cost MCR of 86.6% reflects an increased seasonal impact from the growing share of high-deductible plans in our employer group and individual businesses. We also expected and saw this increased seasonal impact across most of our Commercial business, including our stop loss and experience-rated businesses. Overall, our employer risk businesses continued to deliver solid results in the quarter and throughout the year, reflecting strong pricing, disciplined underwriting and continued effective medical management and physician engagement. Results in our individual business, while still below long-term expectations, continued to improve in the fourth quarter. In our Government business, our full year 2014 MCR for Medicare Advantage was 83.5% on a reported basis or 84% excluding prior year reserve development, reflecting the impact of medical cost improvement initiatives implemented during 2014. Moving to operating expenses for 2014. Our total Global Health Care operating expense ratio was 22%. This includes the impact of health reform-related taxes, which added 110 basis points to the expense ratio for the year. Overall, we've had another strong year in our Global Health Care business. Now I'll discuss the results of our Global Supplemental Benefits business, which continues to deliver attractive growth and profitability. Premiums and fees grew 14% year-over-year in global supplemental. 2014 earnings in our Global Supplemental Benefits business were $230 million, reflecting attractive operating margins, continued strategic investments to drive future growth and nonrecurring favorable tax items of $21 million after tax recorded in the third quarter. Fourth quarter earnings of $33 million reflect claims seasonality, our funding of long-term strategic investments and the impact from the strengthening of the U.S. dollar. For Group Disability and Life, full year results reflect premium and fee increase of 6% over 2013. 2014 earnings in our group business were $317 million and reflect favorable claim experience in our Life business and a lower operating expense ratio. For our Corporate and Other Operations, results totaled to an after-tax loss of $197 million for full year 2014. Overall, our 2014 results reflect revenue earnings growth from each of our business segments and a significant free cash flow as the result of the continued effective execution of our strategy. Turning to our investment portfolio. For 2014, we reported net realized investment gains of $106 million after tax, coupled with a strong net investment income result. The high quality and diversification of our investment portfolio continued to drive our overall investment results. Now I will discuss our outlook for 2015. In 2015, we expect to continue to deliver strong financial performance for our shareholders by leveraging our differentiated capabilities to meet and exceed the expectations of our customers and clients by delivering affordable and personalized solutions, effectively deploying capital and targeting new and emerging opportunities where we will seek to drive additional value for our shareholders. For full year 2015, we expect consolidated revenues to grow in a range of 8% to 10% over 2014, with continued growth across our targeted market segments. We expect full year 2015 consolidated adjusted income from operations to be in the range of $2.1 billion to $2.2 billion or $8 to $8.40 per share. As Will noted earlier, our full year 2015 consolidated and business segment adjusted income from operations, as well as earnings per share estimates, now exclude acquisition-related amortization expense. In 2015, the impact of excluding acquisition-related amortization expense is approximately $0.40 per share or $100 million after tax, including $85 million in our Global Health Care business and $15 million in Global Supplemental Benefits. Lastly, consistent with prior practice, our outlook excludes any contribution from additional capital deployment as well as any prior-year claim development, which in 2014 totaled $53 million after tax. Putting our 2015 outlook and our 2014 actual results on a comparable basis, that is adjusting for the reserve development reported in our 2014 results and adjusting to a consistent base with -- basis for reporting deal amortization, our outlook for operating earnings in 2015 reflects 3% to 8% growth over 2014, and our outlook for EPS growth is 5% to 10% before considering the impact of additional capital deployment. I will now discuss the components of our 2015 outlook, starting with Global Health Care. We expect full year Global Health Care earnings in the range of approximately $1.73 billion to $1.79 billion. This outlook reflects continued benefits from organic revenue growth, specialty contributions, effective medical cost management and operating expense efficiencies. This also includes our updated view of the annual enrollment period results for both Medicare and the public exchange business. I'll now summarize some of the key assumptions reflected in our Global Health Care earnings outlook for 2015, starting with our customer base. Regarding global medical customers, we expect 2015 customer growth of 1% to 3%. This growth is driven by expected ongoing growth in our Commercial employer business led by continued double-digit customer growth in our Select business, as well as mid- to upper single-digit growth in our Medicare Advantage customers, with some expected reduction in our non-ACA-compliant individual customers. Turning to medical costs. Our 2015 outlook assumes some increase in medical utilization versus current levels, and this increase has been reflected in our pricing. For our total U.S. Commercial book of business, we expect full year medical cost trends to be in the range of 5% to 6%. As Will noted earlier, we are changing the basis on which we provide guidance for MCRs to total Commercial and total Government. We believe this basis will provide better insight into our ability to effectively manage medical costs for our Commercial and Seniors customers. For our total Commercial book of business, we expect the 2015 medical care ratio to be in the range of 78% to 79%. This compares to our full year 2014 total Commercial MCR of 78.9% on an operating basis. For our total Government book of business, we expect the 2015 medical care ratio to be in the range of 84.5% to 85.5%. This compares to our full year 2014 total Government MCR of 84.7% on an operating basis. Regarding operating expenses, our 2015 Global Health Care operating expense ratio is expected to be in the range of 20.5% to 21.5%. Overall, we expect full year 2015 Global Health Care earnings to be approximately $1.73 billion to $1.79 billion. We believe this is a competitively attractive result reflecting our focus on growing segments of the health care market and continued strong execution of our business strategy. Now moving to the other components of our outlook. For our Global Supplemental Benefits business, we continue to expect strong top line growth. We expect earnings in the range of $230 million to $250 million. This represents earnings growth of 3% to 12% after adjusting for $21 million of nonrecurring favorable tax items recognized in this segment in 2014. Regarding the Group Disability and Life business, we expect full year 2015 earnings in the range of $320 million to $340 million. Regarding our remaining operations, that is Other Operations and Corporate, we expect a loss of $180 million for 2015. So all in, for full year 2015, we expect consolidated adjusted income from operations of $2.1 billion to $2.2 billion or $8.00 to $8.40 per share. Our outlook continues to exclude the impact of prior year claim development or any future capital deployment. While we do not anticipate the impact of future capital deployment in our EPS outlook, we do expect the additional free cash flow that we generate will be deployed for the benefit of shareholders either through value-creating acquisitions or share repurchase. Overall, these results represent a competitively attractive outlook and underscore the benefit of our diverse and differentiated portfolio of businesses. I would also note that due to the timing of some strategic investments, as well as the growth of our Medicare Part D business, which traditionally reports low first quarter earnings, we expect our first quarter 2015 earnings will be lower than first quarter of 2014. Now moving to our 2015 capital management position and outlook. Overall, we continue to have excellent financial flexibility. Our subsidiaries remain well capitalized and are generating significant free cash flow to the parent, with a strong return on capital in each of our business segments. Our capital deployment strategy and priorities have not changed. These priorities are: providing the capital necessary to support the growth of our ongoing operations; pursuing M&A activity with a focus on acquiring capabilities and scale to further grow in our targeted areas of focus; and after considering these first 2 items, we'll return capital to shareholders, primarily through share repurchase. Regarding free cash flow. During 2014, we repurchased 18.5 million shares of stock for approximately $1.6 billion, and we ended the year with parent company cash of approximately $400 million. For full year 2015, we expect subsidiary dividends of approximately $1.7 billion, driven by strong performance in each of our business segments. After considering all sources and uses of parent company cash, including the funding of our recently announced acquisition of QualCare, this outlook implies we would have approximately $1.8 billion available for capital deployment in 2015, including approximately $115 million we deployed to repurchase 1.1 million shares from January 1 through February 4. Our free cash flow outlook reflects the industry-leading margins and returns on capital in our businesses, and a high level of capital efficiency, particularly from our fee-based businesses. This capital efficiency allows us to fund attractive organic growth while continuing to generate significant free cash flow to be deployed for the benefit of shareholders. Now to recap. Our full year 2014 consolidated results reflect the strength of our diversified portfolio of global businesses and a continued track record of effective execution of our focused strategy. The fundamentals of our business remain strong, as evidenced by strong growth in revenue and earnings, industry-leading medical costs and quality outcomes, and continued strong free cash flow. Based on the strength of these results, we are confident on our ability to achieve our full year 2015 earnings outlook. And with that, we will turn it over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions] The first question is from Justin Lake with JPMorgan.
Justin Lake - JP Morgan Chase & Co, Research Division: First question, David, can you walk us through your view of initial 2015 guidance from the lens of a growth perspective versus your typical targets? And maybe talk about some of the key headwinds, tailwinds, investment spending, et cetera that you see in '15.
David M. Cordani: Sure, Justin. So first, the headlines. We're pleased with the 8% to 10% revenue outlook and continued growth of our well-positioned businesses; as Tom noted, the 3% to 8% earnings growth on a same-store basis; and the underlying 5% to 10% EPS growth on a same-store basis. And as we've done in the past, we will continue to make ongoing investments in our company while seeking to generate an attractive and competitively differentiated outcomes for our business. Also very importantly, all the numbers I just referenced exclude the impact of the $1.8 billion of deployable capital we'll have for 2015. As it relates to tailwinds, you can think about several tailwinds for us: clearly, the revenue and customer base growth, number one; two, expense leverage -- we have a track record of continuing to generate efficiency gains and expense leverage, some of which we redeploy for the benefit of innovation. Third, ongoing specialty penetration. We have a good track record of driving further specialty penetration. And fourth, some improvement in the performance of our individual portfolio of businesses. As it relates to headwinds, you can think about a few: as we've discussed before, the impact of specialty pharma on the overall medical cost trend and specifically, for example, its impact on Seniors portfolio of business; two, as you know, another step-up in the industry tax -- a portion of it, our assumptions are, will not pass through fully in the Medicare arena. And thirdly, for us, given our global nature, some FX impact into 2015. But taken as a whole, we feel good about the 2015 impact that we're able to generate here with growth, earnings and EPS growth; capital positioning; and then finally, Justin, the positioning this gives us for 2016, as we would expect to have further earnings accelerants off of the positioning we've taken relative to our Seniors business in that portfolio. So taken as a whole, we're pleased with the outlook for '15.
Justin Lake - JP Morgan Chase & Co, Research Division: And then David, you mentioned the capital deployment not being in the numbers. Every one of your peers now include share repurchase in their guidance. I'm just curious if you could tell us, give us an update on what -- your strategy around not including any benefit from that $1.8 billion in the guidance going forward.
David M. Cordani: Sure, Justin. We've always been quite transparent providing the updates each quarter, so stepping back, our capital deployment priorities are clear and unchanged: serve the existing needs of the corporation and support the underlying growth and investments; two, targeted and strategically attractive M&A; three, return to shareholders. And to your point, our track record demonstrates our preferred approach there is relative to share repurchase. And our objective is to provide you the transparency of what the free capital available for deployment and allow you to draw your judgments in terms of how you want to look at that. The headline here is really strong and well-performing balance sheet, really strong and well-positioned operating subsidiaries from an underlying capitalization level that provides the $1.8 billion available for deployment. And I would suggest you look at our track record relative to how effectively and how efficiently we've deployed that and we provide updates each quarter.
Operator: The next question is from Matthew Borsch with Goldman Sachs.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: Could you talk to the drivers in your outlook for the global supplemental business? It seems like the growth rate, and maybe some of that is the impact of foreign currency, is lower than we might have expected for a typical year.
Thomas A. McCarthy: Thanks, Matt. It's Tom. Our Global Supplemental Benefits business has a track record of building strong revenue and earnings growth. And it's focused by leveraging the broad and innovative distribution and strong analytic and customer insight capabilities. We saw that result in '14 and we're really seeing that result in '15 also. There are a few layers to the result in '15, though. Our outlook for 2015 earnings of $230 million to $250 million reflects continued strong operating margins; the continued funding of growth initiatives; and continued currency pressure, as you suggested, of about $10 million to $15 million after tax. So if you adjust for the $21 million onetime tax benefit reported in '14, the deal amortization change and the impact of the currency pressure, the underlying growth for global supp is in the 8% to 18% range.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: Okay, okay, that makes more sense. And I'm sorry, did you give a revenue outlook on global supp for '15?
Thomas A. McCarthy: No, we don't intend to provide revenue outlooks by business segment, but we're expecting continued strong revenue growth in global supp.
Operator: The next question is from Joshua Raskin with Barclays.
Joshua R. Raskin - Barclays Capital, Research Division: I want to talk a little about the public exchanges and the impact on the Commercial business. I guess, first, if you could help us size what the revenues were in public exchanges this year; and maybe what the impact on the overall Commercial MLR was; and then as a part of that, what assumptions you've made regarding the 3Rs.
David M. Cordani: Josh, it's David. I'll give you some context relative to size and scope of that business in terms of revenue. I'll ask Tom to give you a little bit relative to the MCRs as well as the -- our positioning relative to the 3Rs. Consistent with our prior conversations, we've positioned this book of business for 2014 as well as 2015. Our expectations is it will be a small portion of our overall franchise. Think of it, in order of magnitude, as we've talked about before, about 3% of the overall franchise revenue in terms of 2014. And we would expect it to be in the similar range in 2015, with some puts and takes in terms of the runoff of the grandfathered business and some growth on the on exchange business. So I think the headline here that's quite important is a small percentage of the overall portfolio that we've been seeking to manage in the context of the performance of the franchise. Tom, could you put a little more color on the MCR?
Thomas A. McCarthy: Sure. So Josh, the MCR dynamics in individual have been improving over the course of the year. So also reflecting, of course, increased seasonality in the fourth quarter. It's just basically been improving from our initial expectations in the year. It's still a little higher than where we'd like to be. That improvement has been driven basically by both a better assessment of the early part of the year claims as they developed a little favorably and a little bit of an improvement in the run rate and, as you kind of suggested, the 3Rs. So just a couple of minutes on the 3Rs. Our year-end accrual for 3Rs now totals about $200 million after tax. The majority of the accrual continues to be related to the reinsurance element of the 3R program, with risk adjusters representing the higher amount of the remaining balance and a smaller amount for risk corridor recoveries. And I'll give you some more specific color on our approach. We have accrued reinsurance at the 80% coinsurance level consistent with the design of the program. We have not accrued any risk adjuster impact for our Texas business due to the current lack of industry data. And we accrued amounts under the risk corridor because we're comfortable with the statutes and administrative guidelines that support that program. So as you know, there's some interplay among each of these program elements, but overall, we're very comfortable with our total accrual.
Joshua R. Raskin - Barclays Capital, Research Division: So I guess more specifically, think about -- I know it's a small portion, but obviously, the MLR is elevated. I'm just trying to figure out the commercial MLR for 2015 with the understanding that you guys have moved the buckets around a little bit. But I'm assuming there's an assumption of the public exchanges getting a little bit better. You've got the industry tax uptick, which assuming you priced for it, is actually a little bit of a tailwind as well, and the guidance is for, let's call it 40 basis points of improvement at the midpoint. So are there -- I'm just trying to think if there's any other moving parts? My guess is you've got a little bit of a benefit on the hep C and Specialty Pharmacy from the new Gilead relationship announced yesterday. So I'm just -- is there anything underlying? Are you guys just basically assuming apples to apples on your total -- on your sort of commercial book flat type of MLRs with a couple of these moving parts helping you a couple basis points?
David M. Cordani: Well, Josh, I think you've got the moving parts pretty well nailed. So again, our MCR outlook for commercial in 2015 is 78% to 79% compared to 78.9% on an operating basis in '14. And it is driven by the items you mentioned. It reflects continued good performance in our employer group business, some benefit from pricing for the incremental industry fee in 2015 and some improvements in individual. And that essentially summarizes the major moving pieces.
Joshua R. Raskin - Barclays Capital, Research Division: Okay. And I'm sorry, did you guys quantify the FX headwind in the fourth quarter?
David M. Cordani: Well, in the fourth quarter, things have been moving around. I'd say low single-digit million dollars impact. So I didn't before, but that's about the quantity.
Operator: The next question is from A.J. Rice with UBS.
Albert J. Rice - UBS Investment Bank, Research Division: Maybe first, I'll just ask you if you don't mind about the private exchange dynamic. I know that was a hot topic about a year ago. It didn't -- it doesn't seem like we're hearing as much about it. But in your ASO book of business, did you see much attrition? And can you just sort of comment on the state of play from your perspective in private exchanges at this point?
David M. Cordani: It's David. Just a little color on our view and our positioning and then our results. First, and most -- we continue to view that the private exchanges may create a sustainable attractive long-term market. As such, we positioned ourself in just about all of the various private exchanges that are in the marketplace today. In addition to that, we have our own proprietary exchange and a dedicated leadership team managing the overall exchange activities. As it relates to outcomes to your point, there had been a lot of conversation in the market as we expected. But consistent with our prior dialogues, we did not expect to see a significant amount of movement in the overall landscape in the marketplace in '14 or '15, and that's what manifested for both the industry as a whole, as well as for ourselves. So specific to Cigna, some movement in both directions, but it all nets out to a de minimis amount of activity. Lastly, as we look to 2016, as I noted, we're well-positioned in the respective exchanges. We'll be actively engaged if -- target clients that, we believe, align very well with our value proposition, present good growth opportunities. But slow activity thus far in line with our expectations.
Albert J. Rice - UBS Investment Bank, Research Division: Okay. And maybe just for the follow-up. You mentioned in the prepared remarks MA is an area you would look to -- for potential capital deployment opportunities, acquisitions. And thinking about that, are you looking -- what would be an attractive opportunity for you? Something that just broadens your geography? Or you're looking for something that you think you can run better than it's currently being run? Maybe add some color on what would be attractive there.
David M. Cordani: Sure, AJ. We've been very consistent relative to MA is, over the long term, a very attractive growth opportunity. And our view is that a sustainable MA program has 2 major dimensions; effective consumer engagement and personalization capabilities and then strong clinical partnership and physician engagement capabilities with a value-based reimbursement structure, which is what our model is. As it relates to capital employment, you hit the nail on the head. We see both organic geographic expansion opportunities, as well as inorganic geographic expansion opportunities. So that would be one, targeted geographies that are inorganically attractive. Second would be if you expand a little more broadly relative to Seniors and the broader chronic population, additional capabilities or opportunities to serve the Medicare, Medicaid duals or other parts of the population we think are underserved. As I noted in my prepared remarks, we've seen good success in Texas, emerging success in Illinois, and we're going to seek to grow those programs. So those would be the 2 areas for capital deployment: geographic; as well as what we would call segment expansion.
Operator: The next question is from Scott Fidel with Deutsche Bank.
Scott J. Fidel - Deutsche Bank AG, Research Division: First question, just wondering if you could drill into the Select growth, and it looks like the trajectory's still intact there -- double-digit growth. Can you maybe just talk a bit about how much is being driven by continued market shift downstream into ASO in terms of how much increased ASO market penetration you're seeing as -- and then as compared to some of the market share gains that you may be driving in that segment?
David M. Cordani: Sure, Scott. It's David. First, relative to Select. So we define Select as employers with 51 to 250 employees, so that's our Select Segment. To your point, it has been and continues to be a very attractive growth segment for us, continuing to notch double-digit customer base growth for us and something we're quite pleased with. Our approach to this base is somewhat different than the marketplace. So it's to be consultative and work with employers to design the right consumer engagement and benefit designs and network structures, and then offer multiple funding alternatives, one of which is, as you referenced, an ASO proposition that gives them much more transparency and tighter alignment. As you know, the overall employer landscape in the U.S. is not growing, shrinking up market, a little bit of growth down market. So there's little bit of growth. But net-net, we're taking share in this space and we tend to take share in this space from more traditionally designed financing alternatives for healthcare, to more progressively designed health engagement programs, incentive-aligned programs that have a high degree of transparency, and the outlook there is very positive.
Scott J. Fidel - Deutsche Bank AG, Research Division: Okay. And then, just on the follow-up question. Helpful if you could just walk us through your thoughts on the cost components for cost trend relative to the overall 5% to 6%. And then, just within RX, what type of impact year-over-year you think that the new preferred partnership with Gilead for Harvoni could benefit?
Thomas A. McCarthy: Scott, it's Tom. So we're really pleased with our medical trend results. And just to repeat, we improved our outlook for medical cost trends throughout the year. We ended up delivering our cost trend below the 4.5% low end of our improved range and building on the very strong trends results we reported for several years. Our outlook for 2015 of 5% to 6% reflects some uptick in utilization and some increase in pharmacy trend, especially drug costs and, of course, some impacts from the flu. Components are generally in the mid-single-digit range with maybe pharmacy in the double-digit range.
David M. Cordani: Scott, [indiscernible] to your question relative to the specialty item. You're correct. We will see some impact -- a positive impact. But per prior discussions, our team has effectively managed the specialty drug component and specifically, the hep C specialty component in 2014. We're pleased with the recent announcement we have with Gilead. And importantly, I would note that both organizations have committed to innovating a performance-based and an outcome-based component to the ongoing activities. So we're pleased with the overall development that transpired, but also the commitment of both organizations to collaborate on an outcome-based program for the benefit of customers as well.
Operator: The next question is from Kevin Fischbeck with Bank of America Merrill Lynch.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay, great. I just wanted to drill into the government MLR a little bit. I guess, when you say operationally that the MLR was like 84.7%, that's x development, right? So you're basically saying MLR should be relatively flat to up in 2015 versus 2014? And I guess, when I think about PDP coming in worse, I thought that you guys probably would have made some progress there next year. And then MA, obviously, you've got a funding gap, but it seemed like there was a lot that you were doing in 2014 to try to offset that. So just trying to understand how you think about the margins.
Thomas A. McCarthy: Yes, Kevin. It's Tom. And you've got the dynamics right. Our -- we've got an outlook of 84.5% to 85.5% compared to the 84.7% operating basis result delivered in '14. And as you say, that excludes prior development reported in 2014. And the picture, I think, is generally like this. We're generally expecting stable Medicare MCRs between Medicare Advantage and PDP with some mix impact actually driving the dynamic here as we're growing some of the higher MCR Medicaid business we have as a portion of the portfolio. Again, all in the margin, but that's generally the result. And I think the outlook calls generally for a stable result.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay. And then, I guess when you talk about accelerating the MA -- I'm sorry, the government kind of business in 2016 and beyond, is it accelerated from a revenue perspective off the kind of 6% to 8% that you're looking for this year in a membership basis? Or is it margins? Is it both? How do we think about that?
David M. Cordani: Kevin, it's David. Again, I think you had the right lever. So one, we're pleased with the outlook we have for 2015 from a growth standpoint. As Tom noted, generally speaking, stable MCRs. As we look to 2016, we would expect to be able to grow both revenue, as well as margin. As I noted in my prepared remarks, we expect to see further improvement in the Stars Ratings, for example. And the positioning we took in 2015 was to position products in key markets within expectation, and what we saw was a step-up in 2016 Stars. So we will see both revenue contribution going into 2016, as well as margin expansion contribution in 2016, therefore, an earnings accelerant.
Operator: The next question is from Christine Arnold with Cowen.
Christine Arnold - Cowen and Company, LLC, Research Division: A couple of this and thats. The CRomnibus exempted the expatriate businesses from the health insurance fee. Is there a quantifiable impact there?
David M. Cordani: Christine, it's David. First and foremost, there have been a variety of administrative release that took place post the passage of the bill back in 2012 and up to, as you referenced, the CRomnibus because the administration recognized that there was an unintended consequence to that business. We're pleased with the outcome from the CRomnibus, legislatively rectifying that for the benefit of global employers. And I would suggest to you the biggest impact here is taking away the administrative complexity that applying the ACA to the global employers expatriate benefit business would create, that was putting a burden on that business portfolio that we were managing through; that's the biggest benefit. There's a small economic benefit, but that's the -- that's a few of the [ph] byline. The bigger piece is it cleans it up for purposes of global employers not to be exposed to that.
Christine Arnold - Cowen and Company, LLC, Research Division: Okay. And then, can you talk about why first quarter '15 will be lower than first quarter '14 and give us some kind of order of magnitude on the factors? And then, do you think you need Medicaid in order to serve the duals? Or you're still kind of the view that you've got the portfolio you need for those duals?
Thomas A. McCarthy: Christine, it's Tom. First, I'll address the first quarter earning spend. Of course, just to reiterate, we're expecting first quarter 2015 earnings to be lower than the first quarter of 2014. And we attribute it to 2 things: strategic investments; and the growth of our Part D business in the first quarter. On the strategic investment side, I think about additional start-up costs in Medicaid expansions, increased grant spend compared to 2014, and the Part D impact reflects both the first quarter pressure typical in Part D, given the benefit structure -- we all know that Part D first quarter results tend to be low -- and the impacts of the drug transition requirements for new customers. So all in, on a comparable basis, we're expecting first quarter '15 to be lower than first quarter '14.
David M. Cordani: Christine, it's David. On your second part -- and pretty efficient working in multiple questions here. At a headline level, as we've discussed before and I noted, duals, ABD, et cetera, in targeted geographies continue to present an attractive opportunity for us because we believe they're underserved as it relates to clinical care coordination. And our clinical programs actually play quite affectively there as noted in our Texas program. We're going to seek to grow those activities organically, and then opportunistically as we noted in our M&A priorities, opportunistically for geographic density. We will also look to dual capabilities from an M&A standpoint. So I would view that as both organic and inorganic opportunities for us.
Operator: The next question is from Andy Schenker with Morgan Stanley.
Andrew Schenker - Morgan Stanley, Research Division: So just following up on one of the earlier questions here for PDP specifically, the very last quarter you highlighted some pressures around specialty drugs and a higher brand mix, and maybe just how did that continue to play out or evolve in the fourth quarter? And then, related to that, you saw pretty strong annual enrollment -- growth in the annual enrollment period, again, about 200,000-plus lives. So what are your expectations on those costs continuing into next year?
Thomas A. McCarthy: Thanks, Andy. It's Tom. I'll start and then David will address some of the growth issues. So as you pointed out, PDP results do reflect higher drug costs in the fourth quarter and the full year. And that includes some impact from the mix in channel of drug purchases and some impact from specialty drugs, so both. We've taken actions to try and improve results here -- that will improve results here. We made network and formulary adjustments when we merged the HealthSpring and Cigna Part D plans for 2015, so that resulted in a leaner formulary and expanded utilization plan -- management for the merged plans, which we expect will improve cost. As you pointed out, we also expect some favorable impact from our recent agreement with Gilead on hep C drugs. But we have factored some ongoing pressure in Part D into our 2015 outlook.
David M. Cordani: Relative to growth, as Tom noted, we merged the HealthSpring and the legacy Cigna programs and sought to take the best of both organizations. For 2015, we -- our growth efforts, we're targeting the chooser population and we saw a very good traction in our sales efforts there. We'd note that our early results through January from a utilization and performance standpoint for the new population are in line with our expectation for that chooser population, meaning the aggregate utilization levels, importantly, the mix of utilization by generic and otherwise. And as Tom noted, we expect, generally speaking, stable MCRs going from 2014 to '15 for this portfolio. And again, it presents an opportunity for further earnings expansion looking into 2016.
Andrew Schenker - Morgan Stanley, Research Division: And just maybe a -- changing gears a little bit to follow-up question here. A little bit early, but for the national account selling season, I mean, anything to highlight for us as you start really heading into it? Have you -- how much business do you guys have up for renewal to maybe versus an average year? And any opportunities out there that you guys are really looking to target?
David M. Cordani: Sure, Andy. As you noted, it's early in the cycle. But to give you some color -- and again, when I give you color, just -- we'll define what we talk about in national account, so commercial employers with 5,000 or more employees that are multistate. We're actually seeing a pretty robust pipeline of new opportunities unfold. So it's unfolding both meaningful scale and early in the cycle. So we're seeing a robust pipeline begin to unfold early in the cycle. And with an elevation -- a further elevation in intensity looking for what we call engagement and incentive-based programs, exploring a lot of the value-based network configurations and the like, which play very well to our strategy. As it relates to the last part of your question, the percent of our book that's out to bid, we see a smaller percentage of our book that's out to bid for 2016 than we did prior year, and that's consistent with the dialogue we had last year. We indicated that we had an elevated percentage based on procurement cycle. So we managed through that queue pretty well for 2015. And now looking to 2016, while the smaller percentage of our book of business out to bid and, again, we're seeing a pretty nice robust pipeline beginning to unfold early in the cycle.
Operator: The next question is from Ralph Giacobbe with Crédit Suisse.
Ralph Giacobbe - Crédit Suisse AG, Research Division: Can you give us a little more sense of expectations for ASO membership growth versus maybe risk for 2015? And you guys have talked a lot about the Select Segment, but just interested in thoughts maybe more broadly as well since there seems to be more movement within the ASO segment amongst peers.
David M. Cordani: Sure, Ralph. It's David. As you know, the vast majority of our commercial business, U.S. commercial business, is ASO. So as we're able to grow our portfolio, the preponderance of that is ASO-oriented. I'd also note that our expectation, as the results unfold and in line with the guidance that Tom provided, the 1% to 3% customer growth, which excludes our QualCare network acquisition, we would expect that our guaranteed cost lives, or our risk lives, would decrease because of the run off of the individual non-ACA compliant lives, so very important. As we get into the year, we'll provide you more detail as that manifests itself. But net-net, you should think about our growth as being predominantly ASO-oriented, and that transcends through Select, the regional segment, et cetera. And we see good traction there.
Ralph Giacobbe - Crédit Suisse AG, Research Division: Okay. And then, just in terms of just the competitive environment for ASO broadly?
David M. Cordani: Well, the competitive environment -- maybe I'll flip it around a little bit the other way, and then try to answer your competitive environment. The buying environment, so the client portfolio -- and we call them clear as [ph] clients, clients continue to seek what we call -- you might call alternative funding, we'll call transparent funding -- so the demand for more transparent funding continues to grow as employers are seeking to get alignment of incentives and better visibility through how their funds are being deployed and align the incentives for their employees or customers. And so that trend continues. So hence, the competitive environment, competitors are seeing more ASO activity as well. For Cigna, that's good for us because we're extremely well-positioned in that environment from benefit design, the consultative nature, and very importantly, the employer reporting and insights that go along with that monthly, quarterly and annually to provide the guidance in terms of what's transpiring. So yes, elevation, but it's elevation because of the client demand, not competitive activity. And client demand continues to go up.
Ralph Giacobbe - Crédit Suisse AG, Research Division: Okay, that's fair. And then, second question, can you talk about the accretion you've captured from the Catamaran deal in 2014? And maybe what you expect incremental for 2015? And then, your Specialty is separate from that deal. Is there any timeline or decision on whether you want to keep it that way or if you're exploring options at this point?
David M. Cordani: Ralph, I'll try to be responsive. Again, real efficient in getting a bunch of questions in here. For pharmacy, more broadly, as you know, we have a wholly-owned pharmacy organization that we continue to invest in. It's performing well as evidenced by our strong clinical outcomes, continued customer growth and strong earnings performance. And we continue to invest in that. So relative to your latter question on Specialty, we run our own Specialty operations within the organization. It's performing well. Our team continues to look to means to further expand and strengthen that, either through collaboration or otherwise. But we're investing in and continue to run that on our own. As for results, and per prior conversations, for 2014, our results tracked in line with our expectations. In fact, they tracked a little bit ahead of our expectations largely because of actions we took around rate and pace of investments, the timing of that and inherent level. So we actually were a little bit ahead of our track record for 2014. And for 2015, our overall targets for our pharmacy business are in line with our expectations, maybe slightly favorable for the overall franchise.
Operator: The next question is from Ana Gupte with Leerink Partners.
Ana Gupte - Leerink Swann LLC, Research Division: I just wanted to follow-up on the Select and the ASO mix shift that moved from a stop loss perspective. So I'm trying to understand firstly whether the company that just do stop loss are competing on a bundled or an unbundled basis with all of you? And it looks like United and Aetna have started to play a bigger role here.
David M. Cordani: Ana, it's David. First and foremost, as we've talked now for multiple years around the Select space and ASO, ASO stop loss, variety of funding mechanisms, we believed, and it's proven out, we believe that there will be increasing demand. We believe that's a result of the increasing competitive activity, and we believe to be successful we'd have to continue to innovate. And that's what's transpiring in the marketplace. As it relates to standalone, if you'll -- stop loss players in the space, I don't see that as a primary competitive disruptor largely because of the impact of integration here. So if you step back, what makes these programs work is not a stop loss program. What makes these programs work is getting the benefit alignment laid out with the right incentives, the network configuration appropriate, the clinical programs aligned. For example, we have the ability, and we do, do on-site biometric screening, on-site coaching for a 100 lives employer. That's a new model, to be able to do that and bring that on board for a client and identify the 1, 2 or 3 high-risk individuals who are not incurring costs today, but we need to engage clinically with. And integrating all of that with the ASO funding mechanism, stop loss when it makes sense for that employer, as well as the reporting, that's the core of our value proposition and we continue to see strong demand for that today and into the future. And we would expect, again, competitors to step into this space because there's a significant amount of demand. Key to us is the results we're delivering and ongoing innovation.
Ana Gupte - Leerink Swann LLC, Research Division: And does that mean then, David, that because of your integration, you can keep your pricing more steady? And the 65-ish percent loss ratios that you used to disclose anyway a while ago, still hold?
Thomas A. McCarthy: Ana, it's Tom. I would think about the standalone stop loss segment as a totally different market than the market we're serving. Again, our approach focuses on the integrated benefits of actually more effectively managing medical cost. And the standalone stop loss carriers, you typically don't have that feature. In addition, we do have some built-in advantages versus them. I mean, we already have this customer in our sights, so we have one set of acquisition costs that they have to pay -- incremental acquisition cost to secure this customer, and we have a lot better insight into the underlying claims data, so our ability to effectively approach the program is very superior. So we don't really find ourselves in what sometimes can be a hypercompetitive standalone stop loss market, not really a market we're computing in. We don't sell stop loss unless we write the underlying program. And when we're selling stop loss, it's part of an integrated package. So the competitive dynamics for the standalone market are very different than the competitive dynamics we see.
Operator: The next question is from Peter Costa with Wells Fargo Securities.
Peter Heinz Costa - Wells Fargo Securities, LLC, Research Division: My question is also on the stop loss business. Is that business included in the commercial MLR that you're giving us now, in the total commercial MLR?
David M. Cordani: Yes. Total commercial MLR will include all of our risk businesses in commercial.
Peter Heinz Costa - Wells Fargo Securities, LLC, Research Division: So just by the growing mix of that in your commercial MLR, it should be pulling the loss ratio down by maybe 100 basis points? Is that a fair number? So does that mean that -- or is it rising in loss ratio on that book of business, so that it's not pulling it down as much going forward?
David M. Cordani: Yes, Peter. I have to tell you, I haven't done that calculation. But obviously, we're not seeing it in the results, so I don't -- I think you might be missing a little -- something there. But just a couple of things. First, the loss ratio on stop loss is lower than the average overall loss ratio, but the premium density in the other businesses is pretty high. So I'd be surprised if there was a 1 point impact, but we'll do that math. Second, on stop loss, we actually would expect some modest increase in the stop loss loss ratio as we continue to sell disproportionately in the lower end. And those customers tend to have a more premium density, so less of an expense factor in the result and a higher MCR. Again, very attractive MCR, so it's not like it's worse profitability. The bottom line margin is still very attractive for the -- that stop loss business. But the dynamics in the MLR are a little higher. So I would expect that there's marginal impact probably from this change, but I'll do a little more careful look at that.
Operator: The next question is from Chris Rigg with Susquehanna Financial Group.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Just wanted to come back to capital deployment again. And I heard your comments on Medicare Advantage and things generally. But when we think about opportunities sort of broadly here, are you -- do you think opportunities are better at this point domestically? Or you still think international is kind of a better opportunity?
David M. Cordani: Chris, it's David. As it relates to inorganic capital deployment, we have 4 priorities and the 4 priorities have remained the same. These are not in order. These are the 4 priorities: further our global footprint, Medicare Advantage and dual capabilities, further our retail-based capabilities, and then what we call Go Deep bolt-on capabilities for our portfolio. So I wouldn't separate international as more than or less than for 2015 versus the last year. It's within our portfolio when we've been opportunistic and focused in terms of opportunities outside the U.S, as well as inside the U.S.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Okay. And then, my follow-up is just on sort of overall growth to the company, and specifically in the health care segment. I mean, I'm just trying to figure out, you're growing your revenues 8% to 10%. Obviously, the bottom line isn't growing in line with that. Obviously, PPD is having an impact. But do you -- can you give us a sense for when you think you'll at least start to get some more leverage down the P&L? Is it -- is 2015 sort of the last truly difficult year and we should start to see some leverage next year? I know you're not going to give guidance. But just, again, big picture-wise, just trying to figure out the trajectory of growth.
David M. Cordani: Well, the direct answer to your question and then a little more color is yes. A little more color is as we talked about the 2015 outlook, we're pleased with it, with the 8% to 10% revenue growth outlook. And then, the 3-day percent earnings growth outlook on the same-store basis and the 5% to 10% EPS growth outlook without capital deployment. As we said, looking to 2016, we see margin expansion opportunities within the health care business. Margin expansion opportunities, specifically in the senior space, both for MA, as well as PDP. We see further margin expansion opportunities within our individual block of business where we've seen some improvement move from '14 to '15. And then, we'll see further scale leverage beyond the ongoing fundamentals of our strong performing employer business. So margin expansion opportunities exist in 2016 and '17 and beyond, and we're quite excited about that.
Operator: The next question is from Brian Wright with Sterne Agee.
Brian M. Wright - Sterne Agee & Leach Inc., Research Division: And I apologize if I missed this, but did you give us some color on the number of PDP lives to be added in '15?
David M. Cordani: We didn't, Brian. It's about -- we ended up 1:1 enrollment period. It's about 250,000 more lives than we had at the end of the year.
Brian M. Wright - Sterne Agee & Leach Inc., Research Division: Okay. And then, just one follow-up. First of all, thanks for the consolidated commercial MLR. We've been waiting for a decade, so thrilled to have that. But the conspiracy theorist in me looks at how you're reporting now, and you have another peer's been very vocal about kind of large-scale acquisition in this space, and you're kind of reporting segments very nicely that would make consolidating 2 models pretty easily. So just any comments on that.
David M. Cordani: Brian, I think you may be able to work for the NSA if you're going try to connect those dots. But the -- really, what you have is continued refinement and responsiveness. We actually chose to provide 2 MCRs versus 1 because there are different attributes within the government portfolio business versus the commercial business. And while we had alternatives, we believe that, that was more customer-friendly and provided the transparency to drive the dialogue on a go-forward basis. And as we have in the past, and as we will on a go forward basis, we'll try to give you as much color as possible in terms of the underlying drivers of the overall business portfolio. But this was an attempt to be, again, responsive to the market, but also maintaining appropriate amount of transparency and not go to a single loss ratio, but provide 2 loss ratios for the domestic health business.
Operator: The next question is from the Dave Windley with Jefferies.
David H. Windley - Jefferies LLC, Research Division: My question's on Medicare Advantage. David, wondering if through the AAP here and your changes in the mid-Atlantic market, specifically if your view is that those changes -- network, and to the extent they were benefit design as well, are complete and set you up for a more normal contribution from that market in 2016?
David M. Cordani: In your comments, Dave, were pointed toward 2016, so put MA back in context. We're pleased in aggregate with the M&A -- MA outlook for 2015 from a customer growth, the 6% to 8% customer growth. You're correct. You draw attention back to a market that we sought to do some repositioning in, and we're feeling the final impact of that, or a final meaningful impact to that repositioning in 2015 in terms of both the lack of life growth. So even in the 6% to 8%, the lack of life growth in that market is fully contemplated in the 6% to 8%. And we would expect, as we step into 2016, an opportunity to see improvement in performance there. So that's a contributor as we look to the future, but part of that repositioning is being felt in 2015.
David H. Windley - Jefferies LLC, Research Division: And then, sticking with that, is that also something that you think can have another positive impact to Stars Ratings when they come out later this year?
David M. Cordani: Our organization has demonstrated significant improvement in Stars as I noted going from 40 to 60 for 2016. We were pleased with that outcome. It was in line with our expectations. And as I noted previously, we would expect to see a further improvement going from '16 to '17. I'm not going to comment on individual market activities. But more importantly, our organization is highly focused on the intricacies of the Stars program. And importantly, making sure we're given the right service experience and clinical experience, both medical and pharmacy, for the benefit of our customers, and doing so in a way to move the Stars Rating up in 2017 to another step function off of the very attractive movement we made going to '16.
Operator: Our last question is from Michael Baker with Raymond James.
Michael J. Baker - Raymond James & Associates, Inc., Research Division: David, I was wondering if you could give us some color on how you're positioning your proprietary exchange offering. I know at this point, private exchanges has been pretty de minimis to the business. But just curious, is really differentiation around enhanced engagement and strengthened guarantees, as well as some ben admin element that increases stickiness?
David M. Cordani: Michael, so relative to our proprietary exchange capabilities, as you would expect, those capabilities are largely focused on what we'll call down market, so think about Select Segment and a portion of the regional employer portfolio. It's a single carrier, as you would expect, exchange alternative. The value prop -- so let's go into the value prop. The value prop is primarily to enable a further retail experience for individuals to get them more actively engaged in the selection of their personal benefits. And we know that when that transpires, whether through a private exchange or other mechanisms because we do this every day without private exchanges, you get a higher level of awareness, a higher level of engagement, a higher level of ownership of the individual and their benefits and their understanding of what's there, That's the primary mechanism. And then you're able to drive the appropriate personalization or efficiency that works for them. So using your term, consumer engagement or personalization, there's a primary attribute there. As I noted previously though, we've expected this marketplace more broadly to unfold slowly and it is. Our team has seen some success. And we have a dedicated team of resources that will continue to focus on this, but we have not banked on, nor are we banking on a significant step function in revenue, customer lives or earnings growth here. Rather, we've positioned ourselves to have smart optionality to the extent this market moves forward very positively.
Operator: I'll now turn the call over to David Cordani for closing remarks.
David M. Cordani: Thank you. So to conclude, I just want to offer some points from our morning discussion. Cigna's strong fourth quarter and full year results reflect solid revenue and earnings contributions from each of our business segments. As an organization, we have over 35,000 talented colleagues around the globe whose work exemplifies our mission of improving health, well-being and sense of security for the people we serve every day. The momentum we generated off of another strong year in 2014, combined with our attractive growth opportunities, give us confidence we will achieve our full year 2015 outlook. We plan to continue to leverage our proven business and core capabilities to drive meaningful growth in attractive new markets and segments, resulting in doubling of our revenue over the next 7 to 8 years. And we remain committed to achieving, on average, our annual EPS growth objective of 10% to 13% over the long term. We thank you for joining the call today and your continued interest in Cigna, and we look forward to continuing our conversations.
Operator: Ladies and gentlemen, this concludes Cigna's Fourth Quarter and Full Year 2014 Results Review. Cigna Investor Relations will be available to respond to additional questions shortly. A recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing 1-800-945-4244 or (203) 369-3501. No passcode is required for the replay. Thank you for participating. We will now disconnect.